Operator: Good afternoon. My name is Arial and I will be your conference operator today. At this time, I would like to welcome everyone to the Olo First Quarter 2022 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] As a reminder, the conference is being recorded. I would now like to turn the conference over to your Olo's VP of Investor Relations, Ms. Stephanie Daukus. Please go ahead.
Stephanie Daukus: Thank you. Good afternoon everyone and welcome to Olo's first quarter 2022 earnings conference call. Joining me today are Noah Glass, Olo's Founder and CEO; and Peter Benevides, Olo's CFO. During our call today, some of our discussion and responses to your questions may contain forward-looking statements, which represent our beliefs and assumptions only as of the date such statements are made. These forward-looking statements include, but are not limited to, statements regarding our expectations of our business, future financial results, total addressable markets and growth opportunity, and guidance and strategy. Forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from those described in our forward-looking statements and such risks are described in our earnings press release and our risk factors included in our SEC filings, including our annual report on Form 10-K for the year ended December 31, 2021. You should not rely on our forward-looking statements as predictions of future events. We undertake no obligation of updating any forward-looking statements made during this call to reflect events or circumstances after today. Also during this call, we'll present both GAAP and non-GAAP financial measures. Reconciliations to the most directly comparable GAAP financial measures are available in our earnings release, which we issued a short while ago. This earnings release is available on the Investor Relations page of our website and is included as an exhibit in the Form 8-K furnished to the SEC. Finally, in terms of our prepared remarks or in response to your questions, we may offer incremental metrics. Please be advised that this additional detail may be one-time in nature, and we may or may not provide an update in the future on these metrics. I encourage you to visit our Investor Relations website at investors.olo.com to access our earnings release, investor presentation, periodic SEC reports, a webcast replay of today's call or to learn more about Olo. With that, let me turn the call over to Noah.
Noah Glass: Thank you, Stephanie. Hi, everyone. Thank you for spending time with us today. In the first quarter Olo's revenue and profitability momentum continued. We grew revenue 18% year-over-year, as our platform supported continued growth in active locations coming onto the platform and transaction volumes. Our ending active location count increased 19% year-over-year to approximately 82,000 and we surpassed more than 600 restaurant brands utilizing our platform. This quarter we had success with the adoption of our customer engagements and front-of-house solutions, which expanded our platform offerings through the Wisely acquisition. Notably Bojangles and El Pollo Loco, both QSR ours deployed our marketing automation and customer data platform or CDP modules in a matter of weeks. Both brands will leverage the marketing automation module to provide personalized campaigns in order to increase their return on investment for marketing campaigns, as well as leverage the CDP module, which creates unified guest profiles, enabling brands to power business decisions and growth. In addition to adding several new restaurant brands to the platform this quarter, we added a new type of customer to the platform, convenience stores or C stores. Multi-unit C stores represent an emerging vertical for Olo, expanding Olo's total addressable location count by an estimated 55,000 locations. And this quarter, we deployed our ordering module at Kwik Trip, an enterprise C store, enabling the brand to help its guests order ready-to-eat meals. Also, in the first quarter, we took meaningful strides towards enabling digital hospitality, which we define as harnessing the power of first party data to enable personalized and memorable guest experiences. Below board member and legendary restaurants are Danny Meyer coaches his team members to deliver enlightened hospitality to guests and "always be connecting dots to do so." With all those customer data platform purpose built for the restaurant industry, we're helping to connect the dots at enterprise speed and scale, enabling digital hospitality with the ultimate ambition to make every guest feel like a regular. First quarter product advancements include, first, we expanded product use cases using Serve, our white label branded ordering experience to enable on premise ordering. Nando's a fast casual restaurant began utilizing serve as its exclusive dining and ordering system increasing its on premise digital orders per store by more than 600% in one year's time. And as I mentioned earlier, we showcase the extensibility of our platform by deploying our ordering module at Kwik Trip. Both of these examples highlight our platform's ability to allow operators to focus on the guest experience. And from a technological standpoint, these two examples highlight our platform's ability to quickly append additional elements and features to our existing products to expand our market opportunity. Second, we grew our technology partner network by more than 100 technology partners to more than 300 providers through our acquisition Omnivore, which we closed on March 4th. Olo's open ecosystem which connects to apps and technologies that streamline operations, improve efficiency, enhance the guest experience and increased operator profitability now encompasses additional partners in on-premise ordering, kitchen display systems, labor management, and inventory management. Third, we added a new premium feature to our offerings introducing Sync, a simplified listing management product, which enables restaurants to provide up to date data that is automatically synced between Olo and more than 50 digital publishers to ensure store information is consistent no matter where guests search. Sync's ability to enable restaurants to be discoverable through local digital listings will drive increased direct orders and improve listing return on investment. Fourth, we continue to invest in enhancing the Olo platform, adding real-time career tracking abilities, as well as adding reminder tools for operators to reenable digital ordering. These enhancements provide restaurant operators with the ability to better manage their digital programs, improving operations as well as the guest experience. All of these advancements in our products, platform, and network are for the benefit of our customers. Olo will continue to innovate and invest in capabilities that provide our brands with the tools to provide digital hospitality to their guests. This is our North Star and the thread that runs through Olo's expanding product suite. And since the first quarter ended, we had a great chance to share our digital hospitality vision with our customers. A few short weeks ago, we hosted Beyond4, our annual customer conference, which returned in person this year. Beyond4 is named to reflect Olo's mission to serve our restaurant brands, not just within but beyond the four walls of the restaurant. At Beyond4, all the way and Olo customers explored our platform and technologies in order to maximize the restaurant footprint in the on-demand world and unlock digital hospitality. At the conference, our customers were excited about the ways the expanded Olo platform can solve even more of their operational challenges, expand their digital programs, increase efficiency, drive revenue, and ultimately, delight their guests. Their enthusiasm during the conference further deepened my belief that digital leaders in the restaurant space will use one platform, the Olo platform, to understand and serve every guest that transacts with them. At the conference and in less than three months since launching, general availability of our payments solution, we're heartened by our customers significant interest in Olo Pay. And data from existing and new customers demonstrates Olo Pay's benefits. In a recently released testimonial, WaBa Grill, a fast casual restaurant highlighted Olo Pay's ability to reduce friction for their business and guests alike, mainly through PCI compliance, decreasing credit card fraud, and allowing operators to view daily orders chargebacks, failure of payment, and reconciliation, while also creating a seamless experience for their guests that enables credit card, Apple Pay, Google Pay, and more payment options. Adam Kinsinger, Director of Technology at WaBa Grill Franchise Corp. stated the benefit of streamlining the digital stack is immense, allowing brands to focus on a guest and their experience. Furthermore, during a standing room only Beyond4 Olo Pay breakout session, one of the panelists stated that Olo Pay doesn't force its operators to choose between the guest experience or protecting their brand from fraud as traditional payment processors have. Olo Pay's modern and industry-specific approach to fraud prevention is vital and enables an elegant guest experience. Another panelist said that fees from vendors in order to fight chargebacks or fraudulent orders could be $35 an order, which can be double the check average for some orders. However, Olo Pay's fully integrated solution enables restaurants to fight chargebacks without additional vendor fees, while also increasing authorization rates and reducing friction for guests. And excitement for borderless Olo Pay capabilities was palpable. As a reminder, borderless payments capabilities, which we plan to introduce later this year, will allow guests to securely speed through checkout at any participating restaurant within the Olo Pay network with a single tap quickly and seamlessly connecting 82,000 restaurant locations, 600 brands, and 85 million guests. Unprompted, four panelists, who represented customers across various service models, all indicated their intent to deploy Olo Pay due to its unique ability to fight chargebacks, integrated advanced fraud prevention, and future borderless capabilities. We believe Olo Pay is a differentiated payment solution that can deliver significant financial and operational benefits for restaurants, as well as a seamless and easier to use solution for their guests. It's a win-win, the kind of innovation we love at Olo. Borderless, as was the case with Dispatch and subsequently with Rails, is another example of the network effects, Olo can leverage for continued product innovation on behalf of our customers. The common denominator across all networks, Olo enabled is data and our unique positioning means we can harness this data to build and provide solutions to our customers that others frankly cannot. This is what gets us excited about the future and gives us confidence in our ability to provide our customers with a suite of solutions that enables digital hospitality at scale. In return, our customers are better equipped to interact with their guests in truly informed and differentiated ways. The end result is our customers enjoying the benefits of higher customer lifetime value, the net effect of getting digital hospitality, right. That said we're committed to remaining true to our core tenets, while continuing to execute on our ambition to enable digital hospitality at scale. These Cortez are open and integrated with more than 300 technology partners, vertical and purpose-built for restaurants, focused on enabling digital hospitality, innovative, and relentlessly focused on providing adaptive tools to enable restaurants to expand their digital programs, increase efficiency, drive revenue, and delight their guests. We observed in technology-dependent industries that platforms that are extensible, secure, and reliable are the platforms of choice and I believe now more than ever, that restaurants must have a full stack offering in order to thrive in our digital world. And Olo answers that call. And finally, as I typically do on earnings calls, I'd like to provide two corporate updates. First, I'm thrilled to welcome Diego Panama to the Olo executive team as Chief Revenue Officer. Diego is a seasoned public company executive with a proven track record of successfully scaling SaaS companies bringing deep and relevant domain knowledge as well as go to market experience on a global scale. He's worked at some of the most innovative tech companies including LiveRamp and previously Microsoft on digital transformation for enterprise scale customers. Importantly, Diego has a great understanding of data applications, and how enterprise brands can use data as a strategic lever in their business, an integral part of our restaurant customer strategy as they look to increase digital hospitality for all of their guests by leveraging guests and operational data. Diego will support Olo's relationships with his restaurant brands, champion their success, drive our sales and marketing initiatives, and importantly, drive all those next chapter of execution and growth as we realize our 100x scale opportunity. Diego will assume the role of Chief Revenue Officer at the beginning of July as our current Chief Customer Officer Marty Hahnfeld plans to retire. Marty has been a key leader in Olo's efforts toward digital entirety and in our growth throughout the industry. On behalf of the entire leadership team. I'd like to congratulate Marty on his retirement and thank him for his dedication and significant impact to Olo and its customers throughout his tenure. And second, I'm pleased to share an update in connection with our Olo for Good initiative. As a reminder, we launched a Olo for Good in 2021 and joined the pledge 1% movement committing to donate 1% of our time, equity and product to doing good. As part of that we committed to donating 1% of Olo shares over 10 years to our independent donor advised fund managed by Tides Foundation. Last year we were recommended Tides Foundation make grants to nine non-profit organizations. This quarter, in our second round of grant recommendations, we advise Tides Foundation to grant $2.1 million in total, from our donor advised fund to the following nine organizations, American Forests, Appalachian Trail Conservancy, Emma’s Torch, Giving Kitchen, Heart of Dinner, The LEE Initiative or The Let's Empower Employment Initiative, The Okra Project, Partnership with Native Americans, and World Central Kitchen.  Grant recipients are non-profits focused on diversity, equity, and inclusion, ending childhood hunger and increasing access to food, supporting the restaurant industry’s frontline workers, and protecting natural resources and reducing waste and emissions. We continue to be enthusiastic about our ability to use Olo as a platform for social impact and positive change for our communities. We love to do well and do good in parallel. And now I'd like to turn things over to Peter Benevides, Olo's CFO, to share more details on Olo's first quarter performance, Peter?
Peter Benevides: Thanks, Noah. In the first quarter, revenue grew on continued location and transaction volume growth, demonstrating the mission-critical nature of our solutions, which are helping to enable digital hospitality within the restaurant industry. Total revenue in the first quarter was $42.8 million, an increase of 18% year-over-year. Platform revenue in the first quarter was $41.5 million, an increase of 19% year-over-year, driven by an increase in active locations coming on to the platform, further multi-product and multi-partner adoption and the durability of digital ordering. In terms of key metrics, we ended the quarter with approximately 82,000 active locations on the platform, a 19% increase year-over-year, and a 4% increase sequentially. As we deploy new brands such as Kwik Trip, TacoTime, cokeworks [ph] amongst others. ARPU for the first quarter was approximately $516, representing a 2% decrease year-over-year, which I'll speak to in more detail in a moment and a 2% increase sequentially. Net revenue retention in the first quarter was approximately 107%, which as expected, was less than recent periods. The year-over-year decline in ARPU and net revenue retention was primarily due to two factors. First, this past quarter, we continue to lap the residual impacts of financial stimulus in the last pre-vaccination period of the COVID 19 pandemic, during which time order volumes were elevated. And second, this past quarter, we lapped the final quarter operating under our prior DoorDash agreement. But the impact of these two dynamics behind us, we expect to see ARPU and net revenue retention accelerate in the ensuing quarters, as customers continue to adopt additional product modules, such as Olo Pay in our front-of-house and customer engagement solutions. For the remainder of the financial metrics disclosed unless otherwise noted, I will be referencing non-GAAP financial measures. Gross profit for the first quarter was $32.4 million, compared to $30 million in the prior year period, driven by the revenue growth previously mentioned, partially offset by higher platform and professional service and other compensation costs to support the growth and transactions and active locations coming onto the platform, as well as the near term impacts due to our recent Wisely and Omnivore acquisitions. Sales and marketing expense for the first quarter was $6.1 million, or 14% of total revenue. This compares to $3.4 million and 10% a year ago. Year-over-year increases were driven by further expansion of relevant teams to continue to drive revenue growth by securing new and expanding existing relationships, as well as increasing our partnership ecosystem. Research and development expense for the first quarter was $12.8 million, or 30% of total revenue. This compares to a $11 million and 30% a year ago. General and administrative expense for the first quarter was $11.8 million, or 28% of total revenue. This compares to $9.5 million and 26% a year ago. As expected, increases were primarily due to increased costs associated with operating as a public company. Going forward, as we lap the initial increase in costs associated with operating as a public company, we expect G&A to decrease as a percentage of total revenue. Operating income for the first quarter was $1.7 million, compared to $6 million a year ago. Net income in the first quarter was $1.7 million, or $0.01 per share based on approximately $183.3 million fully diluted weighted average shares outstanding. Turning our attention to the balance sheet and cash flow statement. Our cash, cash equivalents and marketable securities balance was $463.7 million as of March 31, 2022. Regarding cash flows, net cash used in operating activities was $900,000, compared to net cash provided by operating activities of $4.2 million a year ago. Free cash flow was negative $3.4 million, compared to $4 million a year ago. I'll wrap up by providing our guidance for the second quarter and full year 2022. For the second quarter, we expect revenue in the range of $45.5 million and $46 million and non-GAAP operating income in the range of $600,000 to $1 million. For the fiscal year 2022, we now expect revenue in the range of $195 million and $197 million and non-GAAP operating income in the range of $7.6 million and $9.2 million. In terms of guidance for the year, there are a few things to highlight. First, we remain incredibly excited about the market opportunity ahead. Now that we have lapped the residual impacts of the COVID-19 pandemic, we anticipate a reacceleration of revenue growth as implied in our second quarter and full year guidance. Additionally, while we're encouraged by the overall excitement from our customers regarding the commercial availability of Olo Pay, we have not factored any meaningful revenue contribution into our guidance. Next, the second quarter will be the first quarter in which we feel the full impact of the Omnivore acquisition, which closed on March 4. Also in the second quarter, as Noah mentioned, in April, we hosted our Beyond4 Conference. Expenses related to the conference were approximately $1 million. As a result, following the second quarter, we anticipate expanding operating profit and achieving the full year profitability outlined in our guidance. To summarize, we continue to deliver revenue growth and profitability as we take meaningful strides towards enabling digital hospitality. Our position is strong as we have a long runway for growth through adding more locations, cross-selling our robust and comprehensive product suite, and through expanded use cases of the platform. I'd now like to turn it over to the operator to begin the Q&A session. Operator?
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Stephen Sheldon of William Blair. Please go ahead.
Stephen Sheldon : Hey, thanks for taking my questions. Sounds like you've had some nice customer wins for Wisely. So curious if you can share what kind of level of interest you've seen in your existing customer base to potentially add Wisely modules? And, I guess, you've talked to think before about $10 million -- potential $10 million of revenue contribution there. I think you talked about for 2022, you talked about that last quarter, are you still given what you're seeing now? Are you still on track to meet that are things going better than maybe you'd originally expected there?
Noah Glass: Hey, Steve, this is Noah. I'll take the first part of that question and then hand it over to Peter. So I want to pick up really on the piece that you wrote this morning about digital engagement. I think that it sort of sets the table for where we are in terms of brands and their ambitions to drive toward 100% digital, and kind of where Wisely fits into that as a way of taking the data that flows from those interactions with guests and using it to better engage with consumers and what we think of as unlocking digital hospitality. Ultimately having every guest feel like a regular based on the brand's ability to use the data that they've gathered about that guest to better serve and personalize their experience. So amazing when we see brands that are already up, I think you noted in your piece Wingstop now at 62.3% digital, sweetgreen at 66% digital, but these brands have the ambition of being 100% digital, and as part of that you're seeing a broad interest in how do we use tools to really get great at digital marketing, to learn from all of this information that we're gathering and drive customer lifetime value of our guests? And also go and acquire more guests that look like our best guests. And that's really what the Wisely suite, what we now think of as our marketing automation and customer data platform components of that suite, represent and have seen a lot of interest from especially at our beyond for conference a few weeks ago. And we just saw huge excitement from our customer base now over 600 brands, and really unlocking digital hospitality and understanding that is the banner under which all of those solutions live.
Stephen Sheldon : Got it. Yes. Yes, go ahead.
Peter Benevides: Yes, sorry. Sorry. Yes, just picking up from where Noah left off there. That is correct. In terms of our revenue target for the year, we're still maintaining that million dollar goal. And we are obviously really encouraged and fused with the progress that we've made today, and some of the quick wins that we mentioned on the call. But that is still in line with our four year targeted revenue.
Stephen Sheldon : Great to hear. And then just wanted to ask, you guys have a lot of initiatives underway, I'm just wanted to ask them about your talent strategy, and what trends you've seen and being able to attract new talent retain existing talent in this environment. If you think about this year, and maybe over the next couple, are you well staffed at this point to push forward the initiatives you have in place?
Noah Glass: Hey Stephen. This is Noah, again, I'll jump in there. Yes, I mean, we're feeling really good about our talent, currently on a team and our talent pipeline, and our ability to fill the roles and needs that we have as an organization with a lot of ambition and a lot of different capabilities that are all driving forward. One of the things that, I'm particularly excited about is the talent that we have brought into the company in the different roles as general managers of various business units. And so we have four general managers who are operating our payments, and that's responsible for Olo Pay, the wisely team customer engagements in front of house as another business units that we have GMs are focused on rails and network and syndication partnerships and then also our direct ordering business. And all of those things are areas where, as we talked about new initiatives and things that we're excited about, on the product fronts, we mentioned, an initiative from each of those groups. And it's exciting that we have great leaders, almost like many CEOs who are leading those initiatives and have incredible product design and engineering teams underneath them and a unified go to market to really meet the needs of our customers, broadly speaking.
Stephen Sheldon : Great to hear and nice results.
Noah Glass: Thank you. 
Operator: Our next question comes from Terry Tillman of Truist. Please go ahead.
Terry Tillman: Yes. Thanks for taking my questions. Hey, Noah, Peter and Stephanie. First question I had is, I was actually impressed with just where we've moved, I think just over the course of a quarter from 500 brands to 600 brands, hopefully, I've got that right. But if indeed, you've seen that kind of incremental brands being added to the platform, I'd love to kind of double click into, the typical new customers you're seeing or brands coming onto the platform. Is their buying behavior changing because of, kind of the inflationary environment we're in? Are they are they buying multiple products or starting with one? It's just how this expansion and customer brands kind of manifests itself in revenue, either this year or next year? So that ended up being like four parts that I could repeat if I have to. Isn't that a follow up for Peter?
Noah Glass: All right, Terry, well, thank you for the multi part question. I'll see if I can touch all those areas. This is this is Noah. Yes, so I think we were over 500 brands, as we discussed our customer base last quarter. We're now over 600 brands, we talked a little bit last quarter about expanding some of our focus on what we define as the emerging enterprise segment of the market. Those are into our definition brands that have between five and 99 locations and then we classify enterprise as 100 or more locations. So a lot of expansion of new restaurant brands that are starting their relationship with Olo from that emerging enterprise segment. I think broadly speaking, what has become clear, certainly through COVID I would argue before COVID and certainly now is that a digital ordering platform, digital commerce, and digital marketing tools, marketing automations EDP, these are not nice to have these are must have capabilities for every brand out there. And so we're seeing brands really engaging with Olo to stand up their digital platform, forging those direct relationships with guests. And then seeing that Olo itself is growing and changing, we now have 12 Different software modules. And we can really help a brand go from zero to 100%, digital, utilizing all the capabilities that we have to offer. So I think, Peter can get into how brands have over time started their relationship with more of our software modules, we ourselves have grown the total number of software modules dramatically, both organically and through acquisition. But it's exciting for us to see all of the new brands and all have the opportunity for those brands to really go further faster in their digital transformation by utilizing more of the platform.
Terry Tillman: Yep, yep, got it. Thank you. That was a solid response to my multi part question. So I'll give you -- thank you Noah. Peter, just the follow up question is on gross margin. I mean, it sounds like there's, you've added a couple of technology stacks from the acquisition. So maybe there's just duplicative costs? Or how do we think about gross margins the rest of the year? Would they be more at this level? Or could you see them actually starting to improve a bit? Thank you.
Peter Benevides: Yes, thanks, Terry. Great question. So I guess from a high level, the trends that you're seeing are in line with our expectations, I think what you're seeing is some increased investment in the core business, to better align with the growth that we've experienced over the past 12 to 18 months in terms of number of locations coming onto the platform and growth and transaction volumes. And as you mentioned, we're you're also seeing the impact of a full quarter of the Wisely acquisition and a one month period of the Omnivore acquisition both of those with lower gross margin profiles than then although, I think longer term, holding aside Ola Pay, we do expect to see some improvement in gross margins as we can continue to integrate the wisely and omnivore acquisitions and begin to leverage all those economies of scale.
Terry Tillman: Sounds good. Thank you.
Operator: Our next question comes from Matt Hedberg of RBC Capital Markets. Please go ahead.
Unidentified Analyst: Hey. This is an Anusha for Matt Hedberg. Thanks for taking my questions. You mentioned from three products during IPO, you have now reached four products across five products we've certainly come a long way. Could you expand on the momentum you're seeing with Multi Product adoption, and how products from Wisely and eventually Olo Pay can help make your platform stickier? And then maybe if you could talk about the level of penetration in your customer base? Thanks.
Peter Benevides: Yes, so I think I could -- this is Peter here. So I think I could probably bundle those two questions into one answer. So we disclosed last quarter that, on average locations, subscribe to 2.7 modules per location. And as you noted, there, we have upwards of a dozen products spread across five product suite. So when you think about the opportunity to expand within our customer base, there's clearly a lot of opportunity there. And obviously, future growth and digital order volumes will help to increase both revenue and ARPU over time as well. In terms of attach rates, specifically, the core Olo platform, in the Wisely suite of business, it's still early in terms of seeing the full suite attach rate from the onset of the relationship, where we're seeing a lot of momentum and early success is through that upsell motion. So leveraging those trusted relationships that we've developed with the brands over the years, and helping educate them on really the added value of having a marketing automation suite and CDP suite, in conjunction with their digital ordering platform. That's where we're seeing a lot of early success.
Unidentified Analyst: Got it. And then on Olo Pay although it's still early, maybe can you talk about the adoption trends of Olo Pay in the quarter, and then when we might start to see more meaningful contribution to develop from Olo Pay?
Peter Benevides: Yes, it's Peter here again, I can take that one. So in terms of adoption trends, still, still a little early. So we announced the commercial availability of Olo Pay last quarter and as Noah mentioned in his prepared remarks, we had a great customer conference this past month where Olo Pay was a central focus of the narrative of that conference. And coming out of the conference, we've seen a lot of momentum and a lot of excitement around Olo Pay and the pipeline is building. That said, I still think we're maybe a quarter early in terms of being able to go a level deeper on what we think the revenue opportunity will be this year in long-term, but we're really encouraged with how the pipeline is developing today.
Unidentified Analyst: All right. Thank you.
Operator: Our next question comes from Brent Bracelin of Piper Sandler. Please go ahead.
Clarke Jeffries: Hi. This is Clarke Jeffries on for Brent. First question is, the feedback from on Olo Pay sounds very encouraging, especially because it seems that Olo Pay is not being judged as just an attractive integrated option for newer existing customers, but a payment solution judged by its own merits to be very attractive. I was wondering if you could share maybe some additional detail on how you're able to do some of those outcomes for customers reducing chargeback fees compared to the incumbents whether this is a an architectural advantage or a vertical focus advantage, if you could dive into that. That'd be much appreciate it.
Noah Glass: So Clarke, this is Noah. Thanks for the question. So I think, key to understanding Olo Pay’s advantage over the incumbent payment solutions is understanding that Olo Pay is really have bundled into the commerce platform itself. And so that means that on the front end, the consumer experience Olo Pay is bundled into their checkout experience. And we can implement that one-tap checkout for eliminating friction from the checkout experience, so the guest doesn't have to remember their email address and password that they've used. They don't have to re-enter credit card details that makes for a better front-end experience that leads to a higher basket conversion rate. It also embeds within the commerce platform on the back end on the operator experience. And so today, if you think about the status quo for digital ordering, and payment within digital ordering, the digital ordering platform, Olo is acting as a gateway into whatever credit card processor the brand is using for card present transactions at the restaurant. And that means that the brand is or the operator is really managing the transaction in two places. And when there's a refund, or when there's a chargeback, they have to administer that in two different systems, their credit card platform, and that dashboard and the Olo dashboard, that goes away with Ola Pay. With Olo Pay, they can manage refunds, they can manage chargebacks, they can manage all things payments within the Olo dashboard. So it becomes a single platform to manage the digital ordering business. And we think that has great advantages for helping operators simplify operations. And then also through the network effect of the Olo platform and our partnership with Stripe and the Stripe Radar product in particular, and Olo Shield, which is our own proprietary fraud prevention solution, we have the ability to fight fraud against across all of the restaurant transactions that we can see within Olo and that Stripe can see across their network. So that's part of the advantage of Olo Pay. I just -- I want to be clear that Olo Pay is not just credit card transactions, it is also Apple Pay, it is also Google Pay. It is not there for in competition with Apple Pay, or in competition with Google Pay. And it also doesn't require that the brand has to completely rip and replace whatever processor or processors their operators are using inside of the restaurant. It’s purely about the digital ordering experience and making that a seamless experience for the consumer, and also simplifying things on the operator side.
Clarke Jeffries: Appreciate it. It sounds like it's building on the integration benefits of even something like the marketing automation platform, helping the operators to have a simpler stack. A follow-up question about the expansion into convenience stores, seems like a meaningful expansion in terms of 55,000 potential locations, wondering if you could just maybe dig into how the friction points are different for those businesses compared to normal enterprise restaurant brand. How they operate? Are they owned and operated by similar franchisees, partners? And are they sort of the businesses that could adopt all of the modules available from Olo?
Noah Glass: So I think with C-stores, the only module I can think that does not make sense for C-stores that we offer is probably our reservations platform. It may make sense at some point, but I don't really see that. I think everything else that we offer from digital ordering, delivery, marketing, automation, et cetera. These have resonance for anyone who is doing takeout and delivery of made to order food. And that's specifically how we're working with C-store operators is on that prepared food. To the extent that a restaurant and a C-store look similar, it's that they're taking orders, they're preparing those orders custom made fresh just in time, and then handing off that order to a guest who's coming in or to a courier who's coming in to collect the order on the guest’s behalf. From a go-to-market perspective, very similar go-to-market motion, where we're selling into the brand. And just like with enterprise restaurants, we always sell to the brand. And then we're adopted across the entire location base, whether those are corporate-owned or franchise-owned. I guess, some different point-of-sale integrations in the C-store point-of-sale space. We're no stranger to that. We've done well over two dozen, perhaps well over three dozen point-of-sale integrations. And we do have many point-of-sales that are instead of Olo integrating to them now integrating into Olo. So I think with that exception, a very familiar setting for us just a new opportunity of we estimate to be 55,000 additional locations in our TAM, looking at the U.S. Enterprise C-store segment.
Clarke Jeffries: Appreciate you very much. Thank you very much.
Peter Benevides: Sure.
Operator: [Operator Instructions] Our next question comes from Brad Reback of Stifel. Please go ahead.
Brad Reback: Great, thanks very much. Can we go back to the gross margin question that Terry had brought up? If I look at revenue grew $2.8 million sequentially. But gross profit dollars actually went down $200,000. So there was a negative incremental gross margin, what exactly happened in the quarter?
Peter Benevides: Hey, Brad, so Peter, here. So really, two things happen this past quarter, we had the full sort of quarter impact of the Wisely acquisition, as well as one month impact from Omnivore and then the ability to catch up on some investments in the core business to support active location growth and transaction volume growth that that's occurred over the past 12 to 18 months with respect to the core business. One thing that I do want to call out is we had investments earmarked for later on in the year in terms of net headcount ads. But through the Omnivore acquisition, we were able to take some of those folks that we acquired through the activate acquisition, and have them take some of the roles that we had earmarked forward the back half of the year. So, part of what you're seeing there is really an acceleration of some of those expenses that we have already had planned in the year. We just were able to capture those earlier in the year.
Brad Reback: Okay. Thanks very much.
Operator: This concludes the question-and-answer session. I'd like to turn the conference back over to Noah Glass for any closing remarks.
Noah Glass: Okay, well, thank you all for joining us again today. As I hope you can hear from the content of our prepared remarks and this Q&A session. We're proud of all those past. We're confident in our presence, and we're really excited for our future. I want to say thank you team Olo for your hard work and execution. We have miles to go before we sleep.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.